Operator: Good morning, and welcome to the Conagra Brands third quarter fiscal 2025 Earnings Conference Call. All participants will be in a listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Mr. Matthew Nieses, Senior Director of Investor Relations for Conagra Brands. Please go ahead. Good morning, everyone, and thank you for joining us today.
Matthew Nieses: Once again, I'm joined this morning by Sean Connolly, our CEO, and Dave Marberger, our CFO. We may be making some forward-looking statements and discussing non-GAAP financial measures during this session. Please see our earnings release, prepared remarks, presentation materials, and filings with the SEC which can be found in the Investor Relations section of our website for more information, including descriptions of our risk factors, GAAP to non-GAAP reconciliations, and information on our comparability items.
Operator: I'll now ask the operator to introduce the first question.
Operator: The first question will come from Andrew Lazar with Barclays. Please go ahead.
Andrew Lazar: Great. Thanks so much. Appreciate it. I guess, Sean, I realized there's still one quarter to go in the fiscal year, macro dynamics. You know, make for obviously a super challenging environment in which to forecast. I think but CACNY, you mentioned a few items as it related to fiscal 2026.
Sean Connolly: Including the higher brand spending already being in the base for next year, 4% of cost of goods as productivity, and a fifty-third week. With the wildcard, I think, being where inflation lands. So I was hoping, I guess, you could at least bring us through your thoughts even at high if high level how we think about next year at this stage knowing, you know, much is still subject to change. And guess I asked this in the context of some other sort of fiscal year reporters having already indicated not to expect much growth next fiscal year due to the need for greater reinvestment. Yet in Conagra's case, you know, as you pointed out in the prepared remarks, consumption trends have been steadily improving. So thanks a lot.
Sean Connolly: Okay. Good morning, Andrew. Let me try my best to answer that. As you know, we don't provide fiscal year guidance for any forthcoming year until the Q4 call that precedes it. So that won't officially happen till July. And given the macro environment you cited this year, is extraordinarily dynamic. So we will definitely take advantage of the time between now and then to see where the dust settles on a number of these external things we are monitoring. That said, you are already equipped with some of the puts and takes. Number one, consumer pull for our products remains strong and a lot of spend as you pointed out is in the base. Number two, inventories are being rebuilt but some of the higher costs associated with recent supply chain constraints will linger into Q1. Three, we don't expect a Hebrew national repeat in Q. And four, we don't expect this year's second half supply constraints to repeat in H2 next year. But, and this is the big but, five, we are still monitoring inflation, tariffs, consumer sentiment, and the need for pricing. So overall, too early to give you an outlook at this juncture.
Andrew Lazar: Yep. Understood. And then, really, just a second, if you could go into a little more detail on the differential or the gap between shipments and consumption, in the grocery, right, grocery space just because that was the area where there was the biggest differential and frankly came in below what I think many had modeled versus obviously refrigerated and frozen. Thanks so much.
Sean Connolly: Yeah. Let me hit on that. The prepared remarks were really focused on the gap between tied to the supply constraints, which is really a frozen concept you're seeing in the grocery and snacks concept is a bit different, which is in grocery and snacks this year, more seasonal holiday what I'll call seasonal slash holiday shipments fell into Q2 versus last year where more fell into Q3 because holidays were later this year. But overall, if you look at the six-month pattern in grocery and snacks, it's pretty normal. There's nothing out of the ordinary there. So, you know, overall, the quarter came out for us very consistent with what we laid out for folks when we spoke about it in CAGNY and that includes grocery and snacks where there's just some shipment timing where some of the holiday slash seasonal shipments a little bit different quarter by quarter this year versus last year. But overall consumption at the company level remains strong and that's what we've been focused on. So that's really what you're seeing there. Got it. Thank you.
Operator: The next question will come from Ken Goldman with JPMorgan.
Ken Goldman: Just on the subject of grocery and snacks, I appreciate that certain elements of that business, including meat snacks are sold maybe a little more heavily in convenience stores and traditional packaged food. I'm just wondering you know, some of the data that we're getting on C stores is not ideal right now. I'm just curious if that had any kind of impact versus your prior expectations on any of your products and maybe the overall grocery and snack segment this quarter?
Sean Connolly: Yeah. Good question, Ken. Let me try to demystify that for you a little bit. First of all, overall, Q3 unfolded in a manner that was very consistent with what we updated everybody on when we were at CAGNY, and that includes grocery and snacks. The thing you're noticing in grocery and snacks, as Andrew just pointed out, is that gap between shipments and consumption, consumption overall at the company level and the G and S in general remain pretty strong. But there was a gap and it was really with the way shipments fell last year versus this year and this last year more was in Q3, this year more is in Q2. So that's it. In terms of consumption overall for our company, as you saw in the prepared remarks, consumption remains incredibly strong. Which is really terrific to see. Now if you asked me to dig within strong overall consumption, where are their spots that are weaker, Certainly, on a channel perspective, C store as a channel can have its challenges when the consumer gets stretched. And we have not been immune to that this year nor have our competitors. And so is some channel shifting going on. C Store relative to its normal performance is a bit weaker. That's certainly impacting our portfolio. But as you can see in the total scanner data, we tend to make that up in other channels. So our total consumption remains incredibly strong. Only other thing I'll point you to is that within parts of the dollar channel and not every competitor or every retailer within the dollar channel is performing equally, There are some spots that are, I'll just say, that are weaker than others that so we've had some of that in it's actually, it's some non-measured that shows up in shipments, but not material at all on an overall consumption basis for the company. Which you saw was strong.
Ken Goldman: Great. I'll pass it on. Thanks, Sean.
Operator: The next question will come from Lee Jordan with Goldman Sachs. Please go ahead.
Lee Jordan: I know it's a little early still for 2026 guidance as you pointed out, but I just wanted to see if you could comment on your confidence in hitting your leverage target of three times by the end of next year. I guess what are the key risks you see at this point? And how do you think about the contributions from debt pay down versus just an acceleration in the business?
Dave Marberger: Yeah, Lee. This is Dave. Yes, so as you saw in Q3, we're really pleased with our cash flow performance our free cash flow conversion. 125%. We paid down half a billion dollars of debt in the last twelve months. So we expect the cash flow to continue to be strong and continue to pay down debt. We will update kinda where we are with the three times leverage target by the end of next year when we give guidance for July. Obviously, that's impacted by earnings in the denominator, but so we'll see where we are there. But the cash flow is strong. We expect it to continue to be strong. And our priority with that cash flow is to pay down debt. So that will continue and then we'll see where we are with that leverage target when we give guidance in July for fiscal 2026.
Lee Jordan: Great. Thank you. That's helpful. And then just as we're kind of talking about cash flow, you know, it looks like you lowered your CapEx guidance for this year by about $40 million. Just seeing if you could provide more detail on what was removed or delayed from the budget. And, really, does this mean that we should anticipate a higher than it normal CapEx next year? And then just maybe while we're on the topic and given we've had these recent plant issues, just maybe have you changed how you think about maintenance CapEx at all? Thank you.
Dave Marberger: Yes. So, yes, the update in capital for this year is all timing. So just in terms of the cash impact of capital, more of that is shifting into next fiscal year. So we'll give a specific guidance number on CapEx next year, but you could expect that that will bounce back up to, you know, kinda levels where we started this year. And that's not unusual with projects that you have. Timing can slip. And so that's just simply timing. It's not a result of us cutting anything or doing anything. In terms of maintenance capital, we have a very robust process for allocating maintenance capital and making sure that all of our operations have capital they need to keep the operations running and be efficient. In situations that we've had with our chicken operation, when we bind things you know, we prioritize fixing the root issues in this case. We're going through a full modernization of that plant. And we are estimating that we will be done that by August. So we always prioritize maintenance capital and that's no different than the way we've always handled it. Yeah. Just to add a little more color on the maintenance capital piece. We are in the midst of a multiyear effort to kind of modernize our supply chain. LA, Ebelle, our Chief supply chain officer laid that program out at CAGNY a little over a year ago. And we've made tremendous investments in maintenance capital to modernize our facility, including planned major capital investments in the frozen facility that makes our work in process chicken. As I pointed out at CAGNY, we didn't quite get all the way to get implementing that project because we ran into some quality and consistency issues before we got started. We've had to deal with that a little bit earlier than we expected. Coming at a cost that obviously disrupted our service. But I just want to emphasize that the investment plans have been in flight on the modernization of our network for multiple years now and remain robust.
Lee Jordan: Great. Thank you.
Operator: The next question will come from Tom Palmer with Citi. Please go ahead.
Tom Palmer: Good morning and thanks for the question. I guess just to start off, I wanted to ask on the fourth quarter. You noted the persistence of higher inflation, which seems to maybe be a little bit incremental to 4Q. It sounds like tariffs, at least the wave you were able to comment on, aren't a big swing item, but they probably don't help. And then at least relative to consensus estimates, sales came in a bit light. But you also reiterated your annual outlook. So are there incremental maybe, tailwinds to be thinking about when we look towards 4Q to drive that inflection? Thank you. Yeah. I'll make one comment and flip it to Dave.
Sean Connolly: As I mentioned earlier to Andrew and Ken, Q3 unfolded a manner largely consistent with what we expected when we spoke to investors at CAGNY. And given that, there's obviously not a lot of contemplation to changing kinda what we anticipate in the big thing that we have to do, and I understand everybody on this call today is really eager to get some perspective on how is next year going to unfold. We gotta see where the dust settles on these external factors because that is the biggest variable we are dealing with right now. We've already been dealing with, you know, inflation that really has not abated. So we've had record inflation over the last few years. We've still been in higher inflation this year than we expected when we went into the year. And now we're looking at potential factors that could exacerbate that. And what are the follow-on actions that we're gonna have to take. It's too early to tell. Obviously, how the dust is gonna settle there. But that's gonna be a factor for us. And things are moving around quite a bit, you know. There are things like vegetables that we import from Mexico that we at one point, we thought maybe that would be an issue. Well, maybe there's an exemption there, but then maybe there are other things that become an issue. So things are moving around, not only on a weekly or daily basis, but on an hourly basis right now. We've gotta see where all the dust settles on that so we can really pin down next year to the best of our abilities and give you the guidance that is gonna be as helpful as you as we can give. Dave, anything you wanna add? Tom, real quick. Just the building blocks for our Q4. We expect consumption to continue to be strong. And through Q4. We expect our shipment volumes to improve versus Q3 as we improve our service levels. We are improving our service levels on Burseye and our frozen meal with chicken.
Dave Marberger: Expect improvement in gross margins in Q4 versus Q3. Because remember in Q3, we were negatively impacted by the supply disruptions and the disruption to our operation. So absorption in this quarter negative absorption was very high. And then just some of the one-time cost we had because when you shut down an operation, it does fit your cost. So we do expect improvement in Q4 versus Q3. And then you saw that we had a trade estimate true up in Q3 we don't expect trade to have as much of an impact on margin in Q4. Versus Q3. And our SG and A will be favorable in Q4 versus the prior year. So they're really the key building blocks.
Tom Palmer: Okay. Thank you for that. Just on the I guess, import question with tariffs. You noted the veggies from Mexico. Are there other major items we should be thinking about that you traditionally import? And then beyond just, I guess, raw materials, are there finished goods sold in the US that are sourced overseas? Thank you.
Sean Connolly: Yes. I'll just give you a little commentary on that. We buy obviously a lot of stuff that goes into our product. Much of it is sourced in the U.S. But when we cannot find a supply, in the U.S, think chocolaty and avocados, things like that, we will source it elsewhere. So, you know, I mentioned vegetables out of Mexico, We buy a lot of tin plate steel for our cans. Outside the US because something like seventy-five percent of the tin plate steel lines in the US have been eliminated since 2018 leaving manufacturers in a but to source these things overseas. We kind of fall into that camp. But things are moving. So, you know, yesterday, I might have thought could be an issue with vegetables coming in from Mexico, and maybe that's not gonna be an issue. We'll see. But today maybe there is an issue on things like palm oil, that wasn't on the radar squarely yesterday. So are moving around. I'm not gonna give you a definitive list right now because of the volatility of situation, but as you know, running a business, you have to be able to have some stability in your assumptions. And right now, these the assumptions that we're making are moving around a bit. We're tracking them by the minute and as soon as we've kind of see the dust settle, we'll rack it all up, give you our outlook and that'll be when we're in a position to give you the best guide for the coming year. Anything you'd add to that, Dave?
Dave Marberger: Yeah. No. And our, you know, our manufacturing, what we sell in the US is really manufactured in the U.S. So as Sean said, you know, what we're looking at is our materials and materials that we would have bring in from outside of the US just because they're not available in the US.
Tom Palmer: Great. Thanks, guys. I know it's a very evolving situation, so appreciate the color.
Operator: The next question will come from Chris Correa with Wells Fargo. Please go ahead.
Chris Correa: Hey, guys. Quick follow-up on Q4 and then a little bit of a follow-up on the broader macro backdrop. Just in Q4, you said that the shipments would come at a higher cost but you also expect gross margins to improve. In the quarter and Q4 relative to Q3. What's kind of the gap there? It's better productivity, the incremental pricing, on protein. Can you maybe just, you know, help a little bit more context there?
Dave Marberger: Yeah, Chris. As I mentioned, we have pretty negative absorption which has impacted our cost in Q3, which will get better in Q4. But also, the incremental cost we're incurring with third-party commands. To get our inventories back. We've actually started incurring in Q3. So that will continue in Q4 but it's consistent. So it's not incremental to Q3.
Chris Correa: And that will continue through Q1 of fiscal 2026, the using the third-party command.
Chris Correa: Okay. And then this is a slightly unfair question, but just following up on the prior line of thinking. When you think about the uncertainty in the current environment going into fiscal 2026, Yeah. How much of that is associated with you know, the top line know, the consumer response to this environment relative to your cost structure. I don't know if there's a way to parse that out, but, clearly, there's a consumption angle to this, and there's also the kind of tariff and cost angle. And, I, you know, I wonder if there's any way to frame the relevant impact of either at this point.
Sean Connolly: Well, you know, I won't comment on next year, Chris, but let me just let me give some perspective on this year and kind of what our stance has been for the last year. Obviously, management teams are always trying to simultaneously drive acceleration of growth and gross margin expansion. So we in normal times, we want them both and we want them both right now. About a little over a year ago, we said, look, they may not come in at the same time. So if you've got to prioritize getting volume back to growth versus you know, continued gross margin expansion. How do you prioritize? And we said, we're gonna plant the flag and say, returning volume to growth is the most important thing for the long-term value creation of the company. We have to keep the relationship between the consumer and our brands, and we made the investment to do that, and we've seen very strong connectivity between the consumer and our brands. Obviously, you know, that has pressure gross margins for us and for the industry. And so now as we start to think about what's coming next year, I think we're in for another year where we've got, you know, we're gonna have our hands full in terms of continuing to drive growth and continuing to drive margin expansion, and that's what we're going to do between now and July when we guide is say, what's strongest plan we could put together on both metrics?
Chris Correa: Okay. Alright. Thanks a lot.
Operator: The next question will come from Yasmin Deswandi with Bank of America. Please go ahead.
Yasmin Deswandi: Good morning, everyone. Thanks for the question. I just have a question for you. And just specifically on cost inflation. In your prepared remarks, you mentioned taking pricing and Heber National to offset protein inflation. And I believe there was a comment made previously on the expectation of deflation in on crop-based inputs. So I guess at this point is the expectation for fiscal 2026 to be higher than fiscal 2025 year to date? Do you just have any updated thoughts there? Thanks.
Dave Marberger: Yeah. We're not as we mentioned, we're not going to give any insight on fiscal 2026 until our July call. There's a lot of things moving around right now candidly. You saw for the quarter, our inflation came in around 4%. Which is, you know, where we expected it to be. And we had guided for that for the full year. So you know, right now, we're just looking, as Sean said, looking at all the dynamics and kind of the impact that it may have, and then we'll update further in July. But I'm not gonna comment anymore on inflation for next year.
Sean Connolly: I think the big thing to take away is that it's still 4%. We've had record inflation over the last few years and there were some folks that thought things would go backwards. That has not happened. In this quarter, we're still looking at 4%. And some of the external things that we're talking about are incremental above and beyond that if the baseline has moved. So what we've got to see shake out, you know, and obviously, if we have to deal with some of these external factors, we're gonna have a number of levers available to us that we typically push on. We'll look at our productivity programs and can we squeeze more out of that? We'll look at alternative suppliers. Can we get a better price elsewhere and we'll look at pricing. Everything is on the table.
Yasmin Deswandi: Okay. Great. Thank you. And I just have a quick follow-up. And it's more of a clarifying question off of Andrew's question earlier. So the gap in grocery and snacks, you know, some of that is unfavorable mix. Some of that is trade spend. So is the remaining of that mix, is it just Swiss miss? What other whatever other products was that that, you know, kinda drove that delta?
Sean Connolly: I think you just hit on pretty much all of it. I mean, the GAAP between shipments and consumption in grocery and snacks, I already hit that pretty hard. That was really just the way shipments fell last year, more of them in Q3 than this year more of them in Q2. That's really it. You understand the trade adjustment. Anything else, Dave? Yeah. No. And we talked about, like, Swiss miss, you know, the consumption was really strong in Q3. So when you look at consumption versus shipments, that's just you know, the seasonality of that business. Right? You ship it and then the consumption, and it really depends on, you know, the weather. And when people wanna buy it. And so Yeah. Those shipments went in Q2. You know, we and retailers thought more consumption would have occurred in Q2. The weather didn't cooperate, but it did come in Q3. So I always say winter always comes. It came in Q3. It just pushed more of the gap. It's one of the contributing factors between the gap between shipments and consumption as it fell in the third quarter.
Yasmin Deswandi: Okay. Thanks, guys.
Operator: The next question will come from Alexia Howard with Bernstein. Please go ahead.
Alexia Howard: Good morning, everyone.
Sean Connolly: Hi, Alex. Good morning. So a couple of quick questions. First of all, can you comment on any recent changes in the state of the consumer and behaviors that are shifting. We've been hearing from others that things might have deteriorated in the last eight weeks or so. I know you mentioned C stores. Yes. Any comments about shifts?
Sean Connolly: You know, Alexei, we've been talking about these behavior shifts for about two years now where you've got stretched household balance sheet. You've had value-seeking behavior. People seeking trade-offs. So that's, you know, that's been in place, and it's been everything from the beginning around things like more use of leftovers, things like that. So that has been with us. We invested to kinda over some of those challenges, and obviously, you've seen tremendous responsiveness and especially in our frozen business since we started making those investments. But I think it's really more of just a continuation of a challenged consumer balance sheet where they are stretched. And so, you know, we've been incentivizing them good innovation and some low discount high-quality promotions to drive consumption and you can see it in our numbers. But they're being very discerning. I anticipate that's gonna continue. If we see prices in food or elsewhere go up further, I think you're gonna see more trade down behaviors. And I think it'll be the typical stuff. I think that, you know, the first thing you'll see is discretionary purchases will weaken food service trends will weaken, and then within at-home meeting, I think you'll see a lot of that value-seeking behavior. So we're very well positioned to compete in that environment as we pointed out at CAGNY. Frozen foods are doing quite well right now and obviously we're the world's biggest frozen company. And then within snacking, importantly, we're very protein-centric and healthy permissible snacking. And so we've got one of the stronger snack portfolios right now, and that's helping us navigate some of these challenging consumer times as well.
Alexia Howard: Thank you. And as a follow-up, I know you've got a lot on your plate right now with everything going on, but there seems to be a lot of activity at the state level to introduce bans or labeling requirements on certain additives. That seems to be bubbling up in a lot of different states now. Is that gonna be a major burden, headache, for you, or is it gonna be fairly straightforward to accommodate all of that?
Sean Connolly: Well, Alexia, you are now hitting on why when I talk about the things we're monitoring externally, it's plural. It's not one thing. It's not tariffs. It's a variety. Thing. So added to the list of external factors, we are we're monitoring. The good news for the Conagra portfolio in regard of that one in particular is I pointed out at CAGNY, you know, some number materially over 90% of our portfolio doesn't have any synthetic dyes or food coloring in our products. So it's really not a big deal for us. But we do have to monitor it because state by state legislation is very difficult for manufacturers to deal with. We'd rather have you know, a federal singular voice on this so we can adapt and be as agile as we can. But when you're dealing with state-level legislation, it makes it more challenging for manufacturers to have to try to tailor stuff to individual states. So but with respect to food dyes and colors in general, that's not a it's we don't have a lot of in our portfolio. It's not a material concern.
Alexia Howard: Yep. Thank you very much. I'll pass it on.
Operator: The next question will come from Meghan Clapp with Morgan Stanley. Please go ahead.
Meghan Clapp: Hi, good morning. Thanks so much. Maybe just a quick follow-up on 4Q. I think the guide maybe implies org sales somewhere around flattish. It looks like consumption, which makes sense just given the supply chain challenges, has trended a bit lower in the most recent period. So, you know, as you talked about volumes improving gonna get a shipment benefit from the restock of retail inventory. But maybe can you just help us unpack the underlying expectation as it relates to consumptions in the context of, you know, flattish shipments in the fourth quarter, that would be helpful. Thank you.
Sean Connolly: Well, I just I think the way to think about the shape of consumption is when you have supply constraints is as long as the underlying consumer pull remains strong, consumption will remain strong until your inventory position weakens. And so obviously, because we've had limited inventory, the inventory position has begun to weaken that will lead to out of stocks on the shelf and that will start to show up as weakness in consumption. But unlike what you're seeing from some companies on the consumption line right now, I think you know, investors don't need to have a lot of anxiety if you see that weakness in our consumption because if will not be connected to weakened consumer pull. It'll be weakened it'll really be about weakened. Okay. And inventory levels. That too will pass because we have invested now to rebuild those inventories, but that'll be the shape of the curve is consumption will be strong until our inventory position weakens, then it'll weaken for a little bit, and then it'll rebound. You already hit the shipment flow and how that works.
Dave Marberger: And there is a Q4 impact because of the timing of the Easter holiday. So, you know, you're seeing some negative consumption now because Easter was earlier last year than this year. So yes, so we expect continued strength in consumption for Q4 like we've seen.
Meghan Clapp: Got it. That's helpful. Thanks. And maybe just a couple of housekeeping items. The don't think I saw an updated guide for leverage for this year. Is it still know, I think 3.55 is what you told us at CAGNY, or is it maybe a bit better given the lower CapEx guide? And then second would just be on equity method earnings. I think they were a bit better in the quarter at least for what consensus was modeling. Is that just timing? Is 150 kind of still the right number for the year?
Dave Marberger: Yeah. We we've held both of those for the year. We haven't changed.
Meghan Clapp: Okay. Thank you.
Operator: The next question will come from Max Gunport with BNP Paribas. Please go ahead.
Max Gunport: Thanks for the question. Your snack volumes were up 4% in 3Q. Which stands in contrast to what we're seeing for the industry. Really, we're seeing stacking categories under pressure, and I realized your total snack performance was helped by weather as it relates to the Swiss miss business, but it still looks like your volume growth came from several of your key brands. So you could provide a bit more color on what you're seeing in snacking with regard to the broader industry weakness, and then what you think is helping your business outperform. Thanks very much.
Sean Connolly: Sure. And for those are tuning into this call who did not tune into CAGNY, I would direct you to Bob Nolan's presentation on the future of Frozen and the future snacking because it was chock full of interesting insights. On both of those businesses. With respect to snacking, it's a fascinating time because snacking is an enormous, I don't know, $80 billion plus industry in the US. And historically, a lot of that volume in snacking is in traditional chips. But there is a movement afoot in snacking right now toward healthier snack away from and more toward protein and protein-dense snacking, and that's effectively our business. Our business is highly concentrated in protein and fiber. So between meat snacks and popcorn, you've got two very on-trend businesses, not to mention our seeds business, which is sometimes overlooked, but it's a phenomenal, very profitable business. We happen to have a lot of horses that are in the right categories right now and they're doing right pretty well. I part of the strong number that you just referenced, Max, was Swiss miss being particularly high. I wouldn't get overly excited about that. That's timing because obviously Swiss Miss was down last quarter because of the weather. But the underlying performance in our snacks business relative to the broader space that you're pointing out remains very strong and I would attribute it to the right subcategories and the right brands. And just a quick public service announcement on our new acquisition of fatty smoked meat sticks. Our Fatty business is now fully integrated. It's doing extremely well. It's getting incredible resonance with our retail customers. And if you have not eaten a fatty meat stick yet, I encourage you not just to eat one, but eat it side by side versus some of the other new players on the market. I think you'll see that we win the taste test hands down.
Max Gunport: Great. Thanks very much. I'll leave it there.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Mr. Nias for any closing remarks. Please go ahead, sir.
Matthew Nieses: Thank you, Chuck, and thank you all for joining us today. Please reach out to Investor Relations with any additional questions. Have a great day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.